Operator: Good morning ladies and gentlemen. Welcome to the Six Flags Fourth Quarter and Full Year 2022 Earnings Conference call. My name is Jason and I will be your operator for today's call. During the presentation all lines will be in listen-only mode. After the speakers' remarks, we will conduct a question-and-answer session. [Operator Instructions] Thank you. I will now turn the call over to Stephen Purtell, Senior Vice President of Corporate Communications, Investor Relations, and Treasurer. Please go ahead.
Stephen Purtell: Good morning and welcome to our fourth quarter and full year 2022 call. With me is Selim Bassoul, President and CEO of Six Flags; and Gary Mick, our Chief Financial Officer. We will begin the call with prepared comments and then open the call to your questions. Our comments will include forward-looking statements within the meaning of the Federal Securities Laws. These statements are subject to risks and uncertainties that could cause actual results to differ materially from those described in such statements, and the company undertakes no obligation to update or revise these statements. In addition, on the call, we will discuss non-GAAP financial measures. Investors can find both a detailed discussion of business risks and reconciliations of non-GAAP financial measures to GAAP financial measures in the company's annual reports, quarterly reports, and other forms filed or furnished with the SEC. At this time, I will turn the call over to Selim.
Selim Bassoul: Thank you, Steve and thanks to all of you for joining us today. I want to begin by thanking the entire Six Flags team whose hard work, dedication and agility is helping to unlock the potential of Six Flags. On today's call, I will provide an update on the progress we've made on our transformation. Then Gary will discuss our financial results. Finally, before opening the call to questions, I will return to discuss our long-term strategic priorities. We are fortunate to participate in attractive and resilient industry. Regional theme parks deliver uniquely thrilling entertainment. We delivered in a live outdoor setting that cannot be replicated online and we delivered a highly compelling value to our guests. In addition to operating in an attractive industry, Six Flags has a strong position within the industry, operating in all of the top 11 markets in the U.S. including some of the fastest growing markets in the country. Our parks collectively have 145 roller coasters, including some of the most iconic coasters in the world and a diverse collection of themed experiences, family events, and nearly 1000 rides. In addition, we are the largest operator of water parks in the U.S. and we have many areas for families with young children to enjoy.
Fest: After a challenging start to the year, we course corrected in the fall and we are pleased to have delivered a record fourth quarter adjusted EBITDA, which provides evidence that our new strategy is beginning to bear fruit. It's also the direct result of our efforts to develop an agile culture of excellence, urgency and results, taking risks, challenging outdated ways of thinking and investing in people. Our course correction in the fall was focused largely on four key areas that I would like to highlight for you; pricing, events, marketing and cost controls. First on the pricing front, we simplified our product assortment and we scaled back our seasoned pass price increases, which resulted in an improvement in our fourth quarter pass sale trends. This also boosted our attendance as many of those guests visited our parks after making their purchase.
Kids:
Fest, Oktoberfest:
Fest: Third, after scaling back our marketing earlier in the year, we launched several successful media campaigns to support our fourth quarter events, focused heavily on digital and television. And finally, we continued to stay focused on cost controls and drove significant margin improvement compared to fourth quarter prior year and 2019. What gives me the most optimism about our future was our team's resiliency and ability to quickly course correct during this challenging year. The success of our transformation depends on our people, and I'm so proud that our team has risen to the challenge. The path towards progress never follows a straight line, but our vision for delivering an exceptional guest experience and sustainable profit growth remains our focus. Now I'll turn it over to Gary, who will provide more details on our financial performance. Gary?
Fest: Third, after scaling back our marketing earlier in the year, we launched several successful media campaigns to support our fourth quarter events, focused heavily on digital and television. And finally, we continued to stay focused on cost controls and drove significant margin improvement compared to fourth quarter prior year and 2019. What gives me the most optimism about our future was our team's resiliency and ability to quickly course correct during this challenging year. The success of our transformation depends on our people, and I'm so proud that our team has risen to the challenge. The path towards progress never follows a straight line, but our vision for delivering an exceptional guest experience and sustainable profit growth remains our focus. Now I'll turn it over to Gary, who will provide more details on our financial performance. Gary?
Gary Mick: Thank you Selim, and good morning everyone. For the fourth quarter 2022, total attendance was 4 million guests, a 30% decrease from fourth quarter 2021. This decrease includes 279,000 fewer guests this year due to six parks that were open for Holiday in the Park or HIP in the prior year, but were not open this year during that same period. HIP at these Northern Parks has not historically been accretive to EBITDA. Adjusting for the reduced operating days due to the elimination of certain HIP events in 2022, attendance decreased 26% in the fourth quarter.
Oktoberfest: Total revenue for the fourth quarter was $280 million, a decrease of $37 million or 12% compared to the fourth quarter 2021, largely driven by lower attendance offset by higher per capita spending. Total guest spending per capita of $65 represented an increase of $12 or 23% versus fourth quarter 2021 and with a fourth quarter record. Admission spending per capita increased $7 or 24% and in-park spending per capita increased $6 or 22%. The increase in admission spending per capita compared to 2021 was driven primarily by higher realized ticket prices and a higher mix of single-day tickets, while the increase in in-park spending per capita compared to 2021 reflected our in-park pricing initiatives and a strong assortment of retail products, food and beverage offerings, rentals, and new events. On the cost side, cash operating and SG&A expenses versus 2021 decreased by $38 million or 19%, driven primarily by full-time salary reductions and fewer variable labor hours. These were partially offset by inflation in the form of higher wages, supplies and utilities. Adjusted EBITDA for the quarter was $99 million compared to $95 million in the fourth quarter of 2021, which represents a fourth quarter record for Six Flags. Moving to full year results, since park operations were impacted during the first half of 2021 by pandemic related closures and capacity limitations at some of our parks, we believe it is more instructive to compare our full year results to 2019. Relative to 2019, revenue for the full year 2022 decreased by $129 million or 9%. This includes a $46 million reduction in sponsorship, international agreements and accommodations revenue. Adjusting for this lower sponsorship, international agreements and accommodations revenue, revenue for the full year was down $84 million or 6% versus full year 2019. Attendance declined $12.4 million or 38%, offset by an increase in total guest spending per capita of $22 or 51%. In prior calls, we called out approximately $90 million of inflationary headwinds in 2022 relative to 2019. Despite these pressures are full year cash operating expenses and SG&A decreased by $49 million or 6% versus 2019 due to our aggressive optimization of seasonal labor based on low attendance levels, less dollars spent on advertising and a leaner corporate overhead structure. In addition, recall that an increase in the annual minimum distribution to the non-controlling interest of our partnership parks. The distribution increases via CPI and in 2022 it increased by more than 7% to $45 million. Compared to 2019 this represents an increase of $4 million for full year 2022, which negatively impacts our adjusted EBITDA by the same amount. The expected impact of CPI on the annual distribution in full year 2023 is a $3 million increase versus full year 2022. Adjusted EBITDA decreased by $62 million versus full year 2019, but the periods are not directly comparable because of the reduction in international agreements revenue from our terminated operations in China and Dubai. Adjusting for this impact adjusted EBITDA for full year 2022 versus the same period in 2019 decreased by $38 million or 8%. Our active pass base as of January 1, 2023 was comprised of $5 million pass holders and legacy members of 40% decline relative to last year. You may recall that due to the pandemic related park closures in March of 2020, we extended visitation privileges on all season passes purchased for the 2020 operating season through the end of 2021. As a result, 2 million passes were carried over from 2020 into 2021. Adjusting for the 2 million pass carryover from 2020 to 2021, our active pass base is down 21%. Versus 2019, our active pass base is down 35%. Deferred revenue as of January 1, 2023 was $129 million, down $49 million or 28% compared to fourth quarter 2021. The decrease was primarily due to lower unit sales of season passes and memberships compared to 2021. Versus 2019, deferred revenue was down $15 million or 11%. Total capital expenditures for the year, net of insurance recoveries were $112 million. We expect to increase our capital spending to $150 million in 2023 with an increased emphasis on improving the amenities and infrastructure in our parks, adding new and exciting rides, events and attractions, and implementing guest facing technology. We plan to further increase capital spending to a range of $150 million to $200 million in 2024 and 2025 as we look to add significant marketable attractions to most of our parks. We expect our CapEx to be between 9% and 10% of revenue in 2026 and thereafter. Our liquidity position as of January 1, 2023 was $309 million. This included $229 million of available revolver capacity net of $21 million of letter of credit and $80 million of cash. As of January 1, the outstanding balance on our revolver was $100 million. Over the next 12 to 18 months, we plan to use our excess cash to pay down debt as we work towards our target net leverage ratio of three to four times net debt to adjusted EBITDA. Our next debt maturity is in 2024 and we will continue to monitor the market for opportunities to refinance this debt. Although it is likely that the interest rate on a portion of our debt will increase, we expect total interest expense to decrease over time as we continue to pay down debt. Finally, I'd like to briefly comment on our financial goals for 2023. We do not give formal guidance, but based on our fourth quarter performance and the early season trends, our goal is to deliver record adjusted EBITDA for our core North American Park operations in 2023, which excludes international licensing revenue. For context, our previous record was approximately $518 million in 2018. We expect this to be driven by a higher attendance year-over-year, partially offset by lower per capita guest spending as our season pass mix increases from 2022. In addition, as our attendance rebounds, we will selectively add back costs that directly and positively impact the guest experience while continuing to focus on margin improvement over time. Now I will pass the call over to Selim.
Selim Bassoul: Thank you, Gary. Looking forward we view 2023 as the next step towards successfully implementing our long-term strategy. Our strategy is focused on enhancing the guest experience and delivering long-term profitable growth and is stressed on the following four pillars; first, our park experiences; second, pricing and products; third, organizational culture; and fourth, seasonal events. Our first priority is to improve park experiences for both our guests and our employees. The investments we are making in 2023 prioritize guest comfort by focusing on areas that directly impact their time spent in the parks, including safety, cleanliness, food quality and variety, speed of service, guest amenities, and technology. We are updating and modernizing our park infrastructure, including new VIP lounges, water park cabanas, and new shaded water park seating, more shade structures and benches throughout our parks, and in general, park beautification effort with more flowers and greenery. All of these changes will enable a more seamless and stress-free guest experience. On the technology front, we are on the verge [ph] of integrating mobile payment technology, such as Apple and Google Pay to make checkout speed significantly quicker and to reduce stress on our frontline team members. And we are excited to launch a new vastly improved mobile app this summer, which will help streamline our guest experiences at our parks. We're also investing heavily in our food service operations with new equipment, renovated facilities, and staff training. We've already received great guest feedback and we are committed to continuing to elevate the guest experience to meet their evolving expectations. Another area that we are seeking to improve is our waterparks. Historically waterparks have been viewed as an add-on to our pass products and have been integrated with the greater theme park experience. However, by changing the ticketing architecture and investing in the guest experience at waterparks as a standalone entity, we see great opportunity to grow in this area. We're investing in new water coasters, kid play structures, slides, and food and beverage upgrades that we expect will help increase attendance and in-park spend. We now have a dedicated team to evolve our strategy here, led by a newly created position of Vice President of Water Park Operations. And of course, as always, we're adding signature roller coasters and other rides and attractions to our parks.
go: Finally, I want to briefly mention an exciting new initiative we've been working on over the past year, e-gaming. We will be launching our first e-gaming venue this spring at Six Flags Fiesta Texas in San Antonio. This has been a passion project of our Vice President of Design and Innovation for the past decade, and we are excited to finally give him the reigns to execute on his vision. I won't be divulging too many details today, but you should expect some exciting announcements in the days and weeks to come. Second, strategic priority is pricing and products. Historically, Six Flags pricing programs have been heavily focused on discounts. In 2022, we eliminated many of the historical discounts, including free and ultralow priced tickets, and we trialed several iteration of new pricing programs. Recently, we've taken our learnings and settled on an approach that balances attendance and revenue. Over time our goal is to deliver a premium guest experience and to charge prices that are commensurate with the value we deliver to our guests. We believe we have pricing power, but only if we deliver an exceptional guest experience. In addition, we have restructured and simplified our season pass program, reducing tips to three tiers with logical step ups between categories. This streamlined product architecture should alleviate stress on our guests and makes it easier for employees to service them in our parks. Going forward we expect to maintain a simple lineup of single-day and season pass offerings and we expect to use price as a driver of revenue growth over time. We will offer limited promotions from time-to-time in order to drive unit sales, but we will no longer be a heavy discounter. The third strategic priority is changing our culture. We are developing an agile culture of autonomy, urgency, and excellence. Last year, we significantly streamlined our organization reducing layers of management and empowering people who are closest to our guests. To be clear, this is not just about cost scale. This is about working efficiently and putting ourselves in a position to best serve our guests. In fact, we expect to selectively add resources to our parks in area that affect the guest experience. Our new and streamlined organization features and mix of internal and external talent. We have promoted and empowered rising stars within our organization and we have recruited talented people from other industries. Over the past year, we have appointed new heads of digital, marketing, water parks, finance and legal. We have also appointed many new park presidents, most of whom were internal promotions from within our organization. This powerful combination of internal theme park expertise and externally recruited talent with new skills and fresh perspectives will allow us to learn from our past while creating a new future. Our team is really starting to gel and from my experience, there is nothing that brings people together like delivering record results. Our fourth strategic priority is adding quality seasonal events. We saw great success with our festivals and events in the fourth quarter, even though many were put together quickly and with limited budgets. In 2023, we plan to amplify our focus on festivals and events, starting with our first ever Spring Break at several of our parks this March and April, where traditional Spring Break gets a little bit spooky.
karts at Magic Mountain, to: Finally, I want to briefly mention an exciting new initiative we've been working on over the past year, e-gaming. We will be launching our first e-gaming venue this spring at Six Flags Fiesta Texas in San Antonio. This has been a passion project of our Vice President of Design and Innovation for the past decade, and we are excited to finally give him the reigns to execute on his vision. I won't be divulging too many details today, but you should expect some exciting announcements in the days and weeks to come. Second, strategic priority is pricing and products. Historically, Six Flags pricing programs have been heavily focused on discounts. In 2022, we eliminated many of the historical discounts, including free and ultralow priced tickets, and we trialed several iteration of new pricing programs. Recently, we've taken our learnings and settled on an approach that balances attendance and revenue. Over time our goal is to deliver a premium guest experience and to charge prices that are commensurate with the value we deliver to our guests. We believe we have pricing power, but only if we deliver an exceptional guest experience. In addition, we have restructured and simplified our season pass program, reducing tips to three tiers with logical step ups between categories. This streamlined product architecture should alleviate stress on our guests and makes it easier for employees to service them in our parks. Going forward we expect to maintain a simple lineup of single-day and season pass offerings and we expect to use price as a driver of revenue growth over time. We will offer limited promotions from time-to-time in order to drive unit sales, but we will no longer be a heavy discounter. The third strategic priority is changing our culture. We are developing an agile culture of autonomy, urgency, and excellence. Last year, we significantly streamlined our organization reducing layers of management and empowering people who are closest to our guests. To be clear, this is not just about cost scale. This is about working efficiently and putting ourselves in a position to best serve our guests. In fact, we expect to selectively add resources to our parks in area that affect the guest experience. Our new and streamlined organization features and mix of internal and external talent. We have promoted and empowered rising stars within our organization and we have recruited talented people from other industries. Over the past year, we have appointed new heads of digital, marketing, water parks, finance and legal. We have also appointed many new park presidents, most of whom were internal promotions from within our organization. This powerful combination of internal theme park expertise and externally recruited talent with new skills and fresh perspectives will allow us to learn from our past while creating a new future. Our team is really starting to gel and from my experience, there is nothing that brings people together like delivering record results. Our fourth strategic priority is adding quality seasonal events. We saw great success with our festivals and events in the fourth quarter, even though many were put together quickly and with limited budgets. In 2023, we plan to amplify our focus on festivals and events, starting with our first ever Spring Break at several of our parks this March and April, where traditional Spring Break gets a little bit spooky.
Oktoberfest,: Not only do events and festival drive urgency to visit our parks, but they also provide reasons to visit us multiple times throughout the year. It is an exciting initiative and we are just getting started. To conclude, our long-term strategy is ultimately focused on one thing, delighting our guests. We want our guests to leave our parks with smiles on their faces and excited to come back again. And if we can do that, then we are confident that we'll delight our shareholders as well. With that, I will turn it over to the operator to open the line for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from Steven Wieczynski from Stifel. Please go ahead.
Steve Wieczynski: Yes, hey guys. Good morning. So as we think about this year, just wondering if you can give any color around, I know you're not going to give pure guidance, but your expectations for attendance growth over last year? And Gary, you know, made a comment about higher attendance, which will obviously impact per caps, but just wondering maybe how you're thinking about growth this year there? And then Selim, are you also still kind of targeting that $25 million to $27 million attendance level over time as kind of a normalized run rate?
Selim Bassoul: Let me start first of all to say, thank you for being on the call with us this morning. And yes, I am still targeting, we are still targeting the $25 million to $27 million attendance, which is what is our optimal attendance that we are shooting for. And I'll turn it over to Gary to answer the second part of your question.
Gary Mick: Yes, thank you, Selim and thanks Steve. Good question. We are definitely targeting double digit increases in our attendance for 2023 and we believe the per caps on the attendance side will decrease slightly as we grow the attendance.
Steve Wieczynski: Okay, that's very helpful color. And then second question, Selim, this is probably going to be for you and I'll try to ask it in a way you might give me some kind of answer, but just want to ask about your, how you view your today, your land holdings? And there clearly has been a push out there by certain investors for you guys to look and analyze your real estate holdings. So just wondering if you can give us kind of a high level update on how you're thinking about real estate over time and what that kind of ultimately means to you?
Selim Bassoul:
Land & Buildings:
Land & Buildings:
Steve Wieczynski: Okay, understood. Thanks for the color guys. I appreciate it.
Operator: Our next question comes from David Katz from Jefferies. Please go ahead.
David Katz: Hi, good morning. Thanks for taking my question. Gary, in your commentary, you made some reference to a historical level of, I believe it was 518, and I just want to make sure we're clear about sort of what's in there and what's not in there so that we're clear on what the basis is for contemplating 2023?
Gary Mick: Thank you, David. And the amounts that are not included will deal with our international licensing, which in what we're forecasting out to 2023 is not significant. So we're talking probably in the range of $4 million.
David Katz: Sorry. So the $4 million, the $4 million is what you would earn this year or what you're taking out to get to 518.
Gary Mick: The 518 is the, you'd add 4 to the 518 to give you a 522.
David Katz: I see. And so that's a reasonable basis for us to think about where you might go in 2023, but your suggestion is higher than that.
Gary Mick: No exceed that.
Selim Bassoul: That's, that's, that's our goal David.
David Katz: What I like to do is…
Gary Mick: Yes, I'd like to look at it framed up against 2019 Q4, which gives us a good idea of the trends. When you look at attendance and we talked, I mentioned HIP, we pulled that out of this year. So take the 279 out of attendance let's say from 2019. So we end up being down about 29% all right, versus that's the attendance. But per caps versus 2019 are up 46% on the admissions, 84% up on the in-park spending for a total guest spending increase versus 2019. I'm talking Q4 62%. So that yields us revenue of $19 million increase. Our costs against that same quarter decreased by $8 million, which yielded us $27 million of additional EBITDA or 38%. So that kind of gives you an idea of the trajectory, but we have to be careful that as we go into 2023 that we don't get too far ahead of ourselves. We're seeing really good trends in our past sales and the attendance for Q1, but it's still pretty small relative to the total year.
David Katz: Very helpful, thank you.
Gary Mick: You bet.
Operator: Our next question comes from Chris Woronka from Deutsche Bank. Please go ahead.
Chris Woronka: Hey good morning guys. Thanks for all the color so far. My question, we've covered some ground on kind of the top line, but my question would be, as you begin to bring margin, bring some expenses back with attendance rebounding, is there a expectation for margin this year or maybe it's a longer term target of where you can get to with this new optimal mix of lower attendance versus 2019 but much higher per caps. Is there any way to put some boundaries around that?
Gary Mick: Yes, absolutely. Our long-term plan is to get into the 40s for adjusted EBITDA margins, north of that would be would be fantastic. We think that's going to take a three-year climb, Chris.
Chris Woronka: Okay. very helpful, thanks.
Operator: Our next question comes from James Hardiman from Wedbush Securities. Please go ahead.
James Hardiman: Good morning and thanks for taking my call. Just to clarify that last point, so it sounds like if we piece this together, double digit increase in attendance per caps down slightly at least on the ticket side, so I don't know, maybe high single digit revenue growth. The margin comment is sort of the idea that margins will take a step back in 2023 or do you still, obviously there's a sort of three-year climb, but I'm just making sure I understand the margin commentary. Should we expect margins to be better or worse in 2023?
Gary Mick: Yes, we're expecting the margins to be better James in 2023. We're still very aggressive on the cost side and we're gaining efficiencies. The park Presidents, leadership at the parks, all of our staff are really running the show more efficiently and we expect margins to climb meaningfully in 2023 and 2024.
Selim Bassoul: James to just add a little bit more color to what Gary just said, we have done a lot of work on the cost discipline, but at the same time we are thrilled still investing in the guest experience. So we want to make sure that it's a tradeoff where we want to make sure that our cost discipline, which was very strong in 2022 and gives us a lot of benefit in 2023, will meet boss, probably a little bit balanced toward investing in areas where it affects directly the guest experience. And I'm talking specifically about looking at a couple of items. We want to invest in technology and automation, which will most probably at the beginning be more OpEx on us, but will most probably end up in 2024, 2025 becoming a way of reducing operating expenses, but will still be ahead of margins. But we don't want to get ahead of south too much. So I want to reinforce that we believe that we can grow margin by the mid-40s range within the next three years.
James Hardiman: Got it. That's really helpful. And then and hopefully this question doesn't end up being too complicated, but it seems like there's some complicated factors that impacted your per caps in the fourth quarter, and I'm hoping you can unpack some of that. Obviously there's some accounting stuff with the way the memberships work and shoulder seasons, right? Recognized revenues and on fewer visits in the wintertime, maybe quantify that? I think mix played a big role, right? You got rid of parks that were less margin accretive. I'm assuming they were also lower per caps. So maybe tease that out? And then I think it sounds like the season pass prices came in some at some point over the course of the fourth quarter. So I guess at the end of the day I'm trying to figure out how much of that sort of flows through into 2023 and so any help on sort of the apples-to-apples numbers based on the current season pass sort of setup and a normal mix would be helpful? So any help there would be great.
Gary Mick:
Oktoberfest,:
James Hardiman: But I guess, and if I may sort of follow up here, I mean, it sounds like even ex that $3 accounting benefit, right, I mean, per caps are up pretty meaningfully and you're sort of guiding them to be down somewhat in 2023, so help us bridge those two things.
Gary Mick: Yes, absolutely. And again, the fourth quarter, the per caps tend to be higher because of the Fright Fest upside. When, let's take a look at like 2023, right? It -- we pushed pricing a bit too hard in 2022 and so in terms of looking ahead to 2023, we're going to reel that back a little bit. And, again, the goal is to raise attendance by double digits. So what we've done, and I feel really confident about this is, we have gotten our past product correct, our three tiers that Selim Bassoul talked about. They are priced really right in the sweet spot and it is higher than 2021 and 2019, right? So we're going to have a lift relative to those prior years. So the product is right, the pricing is right, and we've launched media as well in this first quarter and it's really starting to have a nice impact.
James Hardiman: Okay, that's really helpful. I appreciate it guys and good luck.
Gary Mick: Thank you.
Selim Bassoul: Yep. Thank you. Our next question comes from Michael Swartz from Truist. Please go ahead.
Michael Swartz: Hey, hey guys, good morning. I just wanted to dig into the fourth quarter attendance trends a little more in depth. I think you said back in November on the third quarter call that your October attendance was down 15%, if I remember that correctly, versus the same period in 2019. And if I'm just doing the math, it looks like November, December may have been down 60 some percent on the same basis, but understanding you took out six parks from Holiday or six parks for the Holiday in the Park event. I know there's probably some weather impacted it, but is there a way to think about maybe what you saw on a per operating day basis in those final two months of the year?
Gary Mick: Thank you, Michael. The attendance question, we certainly, we don't frequently talk about weather, but we certainly were hit in the last couple of weeks of December. I can't remember a period of cold weather and snow. I even got stuck at an airport for a couple of days and couldn't get out. And it was a very southern event, which if I think most of us remember Southwest Airlines really struggled because their airports are primarily based in the south, and it came down so far. So that certainly impacted our attendance. But I think the thing to take away is the trend trajectory changed. We were down 43% versus 2019 in Q3, but only 29% in Q4. So there's just a really tremendous climb, and we're seeing that trend continue into the first quarter of this year.
Michael Swartz: Okay. And then I think, you had mentioned that the inflation cost headwind that you faced in 2022 was about $90 million versus 2019. Any way of thinking or quantifying what that looks like as we move into 2023? Are there any incremental inflationary cost headwinds? Are you seeing any kind of deflation in your cost base?
Gary Mick: Yes, absolutely. We're estimating inflation's going to run us between 5% and 6% in 2023.
Michael Swartz: Versus 2022?
Gary Mick: Correct.
Michael Swartz: Okay, wonderful. Thank you.
Operator: Our next question comes from Ian Zaffino from Oppenheimer. Please go ahead.
Ian Zaffino: Hi, great. Thank you. Hey Selim, thank you for all the CapEx, nice color. It seems like this is a little bit of a change. I think initially when you came in, you were talking more about shifting CapEx to maybe more IT other kind of items as opposed to rides. But now it seems like the emphasis is back on the rides which is sort of what the previous CapEx cadence was a couple years ago. Is that a proper characteristic or characterization of what's going on here? Just trying to understand, how you're thinking about the cap here?
Gary Mick: Ian, it's a great question. I'm going to take that one based on what Selim has approved for 2023. He is, you are just jazzed, aren't you boss about?
Selim Bassoul: I am very excited.
Gary Mick: What we're doing? Yes. I like to think of it as I take the CapEx and I break it down into marketable and things that the guest feels and sees. And so if we're going to spend $150 million, let's say in 2023 a chunk of that goes to maintenance. But most 70% is something the guest sees, feels, touches, and improves the guest experience. And I would argue the maintenance because when we renovate a ride it performs to the top of its ability and we're always finding ways to reduce downtime, which is something that is one of Selim's primary initiatives. So assume out of that $150 million, 70% is going to marketable, it's going to excitement, is going to events, attractions, rides, guest facing technology.
Selim Bassoul: E-gaming.
Gary Mick: E-gaming, beautifications, absolutely. And then when we lift it to possibly $200 million, the percentage grows to 80% of that is going to marketable capital. And we have a slate of rides that and attractions and more e-gaming that is coming in 2024 and 2025. We're actually, in many of our parks we're looking for the long-term tenure plan where, it takes a long time to let's say if you have, you want to change your pathways in the park. And that's disruptive because your park is open and people are walking around. So that takes a long time to do. But we're very excited about the ride capital, the attractions, the events and what we're investing in over the next three years.
Selim Bassoul: So let me add a few more color on this. So we have started in 2022 when our CapEx program was mostly focused on park infrastructure and beautification. Now we're back to adding new and exciting rides in our parks. So I'm very excited about AQUAMAN at Six Flags Over Texas and it's really a first of its kind. Water coaster that will be our parks 14th coaster at Six Flags Over Texas. Then we are very excited about the rides for families and we talked about that, that we are trying to be very inclusive company and want to attract anyone who's excited and interested in our unique thrills and to deliver fun for people of all ages. And from that, we are adding exciting rides for families. Rookie Coaster, a family coaster at St. Louis, to Kids Racing Coaster at Six Flags Over Georgia and Fiesta Texas. We are going to tremendous electric go-karts at Magic Mountain. That's in 2023. In addition, so in addition to adding two new rides for all ages, we are also adding new exciting concepts that will attract young people like fantastic Spring Break that's happening at Spring Break. It's the first of its event for teenagers and college graduates to have a great fun, an amazing fun; it's a disruptive event that we're putting together in our parks in the next few weeks. Then I will talk about the other type of CapEx we're doing, making it easier for our guests to come to our park. And that's where a lot of CapEx going in, which is guest facing technology. Mobile app, we're approving [ph] improving our app tremendously, and it will be kicking off at the beginning of the summer season. We'll have a completely new app that's interactive maps, very exciting of how you can order. With the mobile app we want to improve our mobile ordering dining and make it much easier to do that. I want to be able to look at our mobile ordering system to look like the kiosk at the McDonald. I love going there and I’d be able to customize my food, my burger, and do it right at the click of my phone. Second, we have implemented mobile payment technology. I talked about it in the past. We did not even have Apple Pay, and now we have gone into Apple pays for our parks, and it's been a tremendous ease to do business and Google Pay and Digital Pay. Let's put it this way. We have continued to improve our contactless screening, security screening. So we're reducing our wait lines and the back search to enter our parks. So now you walk seamlessly through our contactless security system. We're going to website redesign, a much better redesign that's taking place in the next few weeks. We've gone to QR code FLASH Pass. That has been a tremendous ease of skipping the line, including one shop. We have basically done the one shop. In addition, we have a lot of interesting ways to improve guest facing technology. I can't like, there are almost another 20 items right there on our list, but it's exciting. It's exciting. So we've come from a 2022, which was a total strategy change and a cultural change to today truly being there to start propelling the growth of our business in a complete new way.
Ian Zaffino: Okay, great. That's great color. And, just as a followup, I guess you guys know you can't dangle anything in front of us without or teased in front of us without asking you a followup. On the iGaming side, how are we supposed to be thinking about this? Is this going to be a profit center? Is it going to be more like a ride as far as engagement wise? How do we think about this? And I know it's early, I know it's going to take probably several years to roll out, but how do we actually get our head around this and think about maybe the direction where you're going to take it? Thanks.
Selim Bassoul: Yes, thanks, Ian. We're very excited about our ESIX Gaming initiative. We issued a press release yesterday and that's the limit that we're going to communicate at this stage. It's 5,000 square feet, state-of-the-art arena and the campus with 50 custom built gaming PC stations, et cetera. It is going to be revenue accretive. We're very excited about how it can improve our overall performance of our business, but at this stage, it's very early and we're also being relatively close to the vest on how we're doing it.
Ian Zaffino: Okay, thank you very much.
Operator: Our next question comes from Paul Golding from Macquarie. Please go ahead.
Paul Golding: Thanks so much. And I wanted to touch on the higher mix of single-day. Could you give us some background on how you're effectuating that? Is that just coming from the monthly membership being gone and how are you thinking about this going forward and balancing it with pass visits? And then secondly on the op days removed intentionally in Q4, I was wondering if there's more opportunity for that you're looking at now as we lap the year and are still in a winter Q1 season, and how we should think about that as we look at 2023? Thanks.
Gary Mick: Yes, thanks Paul. I'll take the first part of your question. The single-day ticket has a fair amount to do with our waterparks. We have not, in our opinion, done a good enough job monetizing our waterparks and the, we're going to be implementing very effective ticket pricing at the waterpark level, which will drive our single-day ticket up as a mix. But it is also one of the drags as I mentioned earlier on attendance as to, I'm sorry, not attendance, the average pricing, average admission pricing for 2023. Can you repeat your second question?
Paul Golding: Sure, Gary. Yes, sure. The op days that were removed in Q4 that were not accretive from earnings perspective. As we lap the start of another year and we're still in this winter season in Q1, how should we think about the opportunity for you to take out more, potentially dilutive op days as we think about 2023 as a whole?
Gary Mick: So Paul, I think what you're asking is what does the operating calendar look like in 2023 compared to?
Paul Golding: Essentially, right and if there, if we might expect to see more of these opportunistic reductions in non-accretive op days?
Gary Mick: Yes, Paul, absolutely. We're definitely looking at that. And you'll notice our Magic Mountain in California is not open during midweek as an example. And so, yes, we're analyzing at a great level what is EBITDA accretive and what is not on a daily basis. And if it doesn't make sense to run our park, we definitely will not do that. So the number of days should be down. Now we are increasing our hours, so as something that's very important, again on the same, on the in-parks spending side, as is the number of hours we operate our parks during day. So we're going to increase our op hours, but reduce our op days.
Paul Golding: Great. Thanks for that.
Operator: Our next question comes from Ryan Sundby from William Blair. Please go ahead.
Ryan Sundby: Hey, thanks for the question. Can you drill in on the double digit increase in attendance next year? Is that mostly a function of the pricing structure change or is that coming from the new rides and the events, do you have plans? And then as we think about rebuilding attendance next year, how much is dependent on bringing new guests into the park versus maybe recapturing some of the guests that didn't come this year? Thanks.
Gary Mick: Now, Ryan, that's a harder question to answer as we look at the future 2023. I will say that pricing has certainly something to do with it. Our product pricing and offering that we have right now on our website is proving to be very effective and really matches the product offering that we currently have and this being very much appreciated by our guests. So then definitely the rides and the events, Selim talked about, he's bringing on flavors of the world. He's bringing on….
Selim Bassoul: Viva La Fiesta!
Gary Mick: Viva La Fiesta! We have Rock the Block, which is coming and it's just, so these events are definitely an appeal and as we launch them and announce them on our website, the guests get more excited and start purchasing their season pass.
Selim Bassoul: I would add Ryan, a couple more color on this. First of all we have, we are building on three things. I think we build on the fact that our attendance was most probably the lowest we've seen in 2020. We've coming from a base that came where we've had an attendance that's pre-[indiscernible] and we're starting from a lower attendance and rebuilding that company. So you're asking about are we seeing people that we've lost come back? Yes, we've seen, it's a mix of a lot of new guests coming in, and some of them who when we froze the membership are starting to start coming back because they wondered if we're going to reopen the membership or not and now they are starting to become regular season pass holder with us. I will also say that many of the single-day tickets that were single-day ticket last year are starting to come back as season pass holder. We've seen a little bit of this coming through, but the most important is the fact that finally the online posting of our guests and our guest attraction scores have trended upward. And now people realize that all the efforts we've put in, in beautification, in creating those, even those three events that were put in, in a very quick time limited budget, Oktoberfest, Boo Fest, Veterans Day celebration, brought a lot of great people in the fourth quarter and saw the way how we improved our Fright Fest. And I give full credit to our new culture and our team that stepped up and got it done. So I think now we've published also all those seasonal events and the park experience has been a lot better. I get notes and notes about people telling me how we have become a lot easier to do business with, friendlier to work with, cleaner parks, shades. Foodservice has gotten much, much better in terms of flows. I think a lot of it is bringing a lot of momentum. We're feeling very good about going forward for 2023.
Paul Golding: It’s good to hear. Thanks.
Operator: Our next question comes from Eric Wold from B. Riley Securities. Please go ahead.
Eric Wold: Thank you and good morning. Just a followup question on a bunch of the parts from prior questions. If you think about the outlook of getting into the 40%-plus margin level in the next three years, along with kind of the goal of getting to that still at $25 million to $27 million optimal cadence, can you maybe talk about kind of the pricing strategy with both season passes and single-day tickets kind of embedded within that outlook given kind of what you've learned last year when you first took them up and took them back down? How should we think about how you think about pricing each of those two cohorts over that three-year period?
Gary Mick: Good question, Eric. I -- as I look forward to 2023, the pricing structure as we mentioned earlier, comes down a bit because of our aggressive, we arguably pushed too hard in 2022 and so relative to 2022 the pricing comes back a bit, but we are no longer going to be a discounter. And when even we do a promotion, we will consider offering, let's say, one pass like if it's Gold, we might offer the Platinum at the gold price level. We always want the customer to be able to level up, right? And so that's the approach that we're taking. We also reduced our pricing on the highest level Diamond pass. As some of you remember, we got up to, I think, north of 300 in 2022 and that's at 150. And it's also proven to be a very effective price point when you can attend all of our parks and all of the perks that we're offering with that pass. So these elements really, really feed into, -- we're feeling pretty good about the pricing structure in 2023. And then when you go on beyond 2023 in 2024 and 2025, this year is, I think, the reset year, so to speak, on pricing. And again, it's minimal, and it's only on the admission side and it grows from here on out. All these investments that Selim just mentioned, they go into the park, $150 million, $180 million, $200 million, whatever we end up spending in our CapEx to drive the growth at all of our parks, this will enable us to consistently increase our admission value.
Selim Bassoul: I also would like to add more color to this. I think what we've learned, the lesson we've learned in 2022 is that we came in and we raised prices aggressively and we took away perks. We put in lockout dates. We most probably also took away the meal dining plan -- dining meal plan and all of that. I think we've learned and we had to course correct in September to realize that literally we needed to most probably create the experience before charging the aggressiveness we've done. And I think people need to see the value of our pricing. And I'm comfortable right now that we have created a fantastic balance between the value we're delivering and the pricing we're delivering. On the other hand, I want to continue reminding everybody that our pricing today is still higher than 2021 and 2019. Our single-day ticket remains much higher, too. We have not and we're seeing the trends to work so far, even though it's a very still low season for us, we are very encouraged by what we're seeing in the past eight weeks. But still I don't -- we don't want to take celebratory laps here. We still have a lot of work to do in 2023 to be positioned. So we're not out of the woods yet.
Operator: Our next question is a follow-up from Ben Chaiken from Credit Suisse. Please go ahead.
Ben Chaiken: Hey, how is it going? Just two quick ones from me.
Gary Mick: Hi, Ben.
Ben Chaiken: Hey good morning. And I may have missed it, so I apologize, but I think, Selim, you mentioned there was other opportunities outside of Opco/Propco. Are you suggesting just kind of traditional blocking and tackling, driving organic growth or are you suggesting other strategic alternatives? And then just one quick followup.
Selim Bassoul: I think there are -- first of all, I'm going to tell you what I'm looking at it right now. When I think about our business, long-term, Ben, I looked at our opportunity and hospitality. Let's put it this way. I think we should be in the hotel business at one point down the road. I'm not talking in 2023, but down the road, I see that that opportunity for us. Our guests ask us that all day long. They say, I wish you had a property. It's easier for us if you have a property on in the park and we have that space to do that. So we look at opportunity in what I call hospitality. We have very little a few hotels that we manage, and they do well, they do well. And they are not in the best part of the country, and they still do well. And what I'm not saying, best not in the fast-growing area of the country. I don't want to say they are amazing, beautiful places. I don't want to -- beautiful places, but they don't have the support of the population. Do you imagine if we did something in New Jersey, in Magic Mountain, here in Dallas, Texas in Fiesta, in San Antonio, where you have this population that support those hotels. I think number two, I would say the second thing is we always will look at M&A down the road. I think there is opportunities M&A down the road and that would be huge opportunities. As you see our background into this is we – I've come from M&A at Middleby, and I think M&A has been a big propeller of value for us for 20-plus years and I think there is a way to increase. We have opportunity of investing in the e-gaming. I believe e-gaming is a game changer for us down the road. It's too early for us to tell where it's going to go. But if you look at the prospect of e-gaming and if we do it right, this should be a big opportunity for us going forward.
Ben Chaiken: Understood. Thank you. And then one quick followup. On the margin commentary when you're talking about greater than 40% and then mid-40s in a few years. Just to be totally clear, that's adjusted EBITDA and not modified EBITDA?
Gary Mick: Yes, absolutely. And I would characterize it in the 42 range at 25.
Selim Bassoul: I think it would be modified to be the mid-40s.
Ben Chaiken: Just pause for a second. So is it just, is it greater than 40% for adjusted?
Gary Mick: Yes. If you look at what's happening over the next few years, we'll be -- we have our partnership units are coming have a call option in 2027 and 2028, and likely, we'll be owning those parks in those years. So we'll be coming into a period where there is no difference between modified and adjusted EBITDA.
Ben Chaiken: Okay, I guess I can catch up offline. Thanks.
Operator: Our next question is a followup from David Katz from Jefferies. Please go ahead.
David Katz: Hi, thank you. Just wanted to touch quickly. I think you have a maturity out there. Hey gary, can you just give us a quick thought on how you might be sort of dealing with balance sheet the next year or so? Thanks.
Gary Mick: I'm sorry, David, one more time?
David Katz: I think you may have a maturity out there for 2024. I was asking how you're thinking about approaching that strategy and timing and any other sort of balance sheet initiatives you might be focused on?
Gary Mick: Yes, thanks, David. I'm going to turn that over to Steve.
Stephen Purtell: Yes. So the 2024 maturity they go current in July. We've heavily, we'll be looking at the market and be opportunistic about refinancing those when the time is right. We also have a revolver to renew coming up. So both of those items we're looking at over the next few months and will...
David Katz: When does your revolver mature?
Stephen Purtell: It goes current in April.
David Katz: It goes current in April. Okay. Thank you very much.
Gary Mick: Yes. And guys, I want to just clarify the difference between modified and adjusted EBITDA. That's the partnership park share, which is roughly $50 million. And when I'm talking it's low 40s, that's what I've been indicating on this call. And if you go back to modified EBITDA, it's mid-40s. So we're both correct. I just want to make sure that we both understand it in terms of those two differences. Does that answer that question?
Stephen Purtell: Any other questions?
Operator: There are no more questions in the queue. This concludes our question-and-answer session. I would like to turn the conference back over to Selim Bassoul for any closing remarks.
Selim Bassoul: I want to thank everybody for their continued support. We are very excited to enter a new season and look forward to seeing you in one of our parks. Take care, and have a great day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.